Operator: Good day, and welcome to the Philip Morris International First Quarter 2018 Earnings Conference Call. Today's call is scheduled to last about one hour including remarks by Philip Morris International management and the question-and-answer session. [Operator Instructions]. Media representatives on the call will also be invited to ask questions at the conclusion of questions from the investment community. I will now turn the call over to Mr. Nick Rolli, Vice President of Investor Relations and Financial Communications. Please go ahead, sir.
Nicholas Rolli: Welcome and thank you for joining us. Earlier today, we issued a press release containing detailed information on our 2018 first quarter results. You may access the release on www.pmi.com or the PMI Investor Relations App. A glossary of terms, including the definition for reduced-risk products, or "RRPs," as well as adjustments, other calculations and reconciliations to the most directly comparable U.S. GAAP measures, are at the end of today’s webcast slides, which are posted on our website. As a reminder, effective January 1, 2018, we began managing our business in six reporting segments reflecting a new regional structure. Three years of historical data reflecting the new structure are available on our website and in the Form 8-K that we submitted to the SEC on March 23rd. Please also note that we are now using operating income to evaluate business segment performance and allocate resources, replacing operating companies income, or "OCI," which was used prior to January 1, 2018. OCI was defined as operating income, excluding general corporate expenses and the amortization of intangibles, plus equity income or loss in an unconsolidated subsidiaries, net. Today’s remarks contain forward-looking statements and projections of future results. I direct your attention to the Forward-Looking and Cautionary Statements disclosure in today’s presentation and press release for a review of the various factors that could cause actual results to differ materially from projections or forward-looking statements. It’s now my pleasure to introduce Martin King, our Chief Financial Officer. Martin.
Martin King: Thank you, Nick, and welcome, ladies and gentlemen. As announced this morning, we are increasing our 2018 reported diluted earnings per share guidance, at prevailing exchange rates, by $0.05 to a range of $5.25 to $5.40. The change reflects a lower estimated full-year effective tax rate of approximately 26%. Our guidance includes $0.16 of favorable currency, at prevailing exchange rates. Excluding currency, our guidance represents a growth rate of approximately 8% to 11% compared to our adjusted diluted EPS of $4.72 in 2017. The reduction in our estimated effective tax rate for 2018 to approximately 26%, versus the 28% that we had previously communicated, is driven by two main factors. First, further analysis and interpretation of the Tax Cuts and Jobs Act , primarily related to foreign tax credit limitations due to the Global Intangible Low Taxed Income provisions of the Act; and second, revised foreign income tax estimates due to a change in the mix of our foreign earnings. I must caveat that this estimate reflects our current capital structure, as well as our current interpretation of the new tax law, which may change as further regulations and clarifications become available. It also reflects current assumptions regarding earnings mix and tax rates by taxing jurisdiction, which may also change. Our revised guidance also incorporates some caution related to the evolution over the balance of the year of three elements which I will cover in more detail later in my remarks namely; the timing of price increases in Russia, although the start of the year has been encouraging; slower-than-initially-projected RRP category growth in Japan during the quarter. Given the phenomenal category evolution, we are now reaching different socio-economic strata with more conservative adult smokers who may have slightly slower patterns of adoption; and the pace of recovery of cigarette industry volume and our market share in the GCC, particularly Saudi Arabia. Consequently, we have not passed through the full benefit of the lower estimated tax rate to our 2018 guidance at this early stage of the year, but we will monitor how these dynamics and our related initiatives progress as the year unfolds. Our revised guidance reflects currency-neutral net revenue growth of around 8%. Turning to our first-quarter results, we recorded strong currency-neutral net revenue growth of 8.3%, driven by higher volume for heated tobacco units and IQOS devices across IQOS markets, coupled with higher pricing for our combustible tobacco portfolio across all Regions, notably South and Southeast Asia and Latin America and Canada. Adjusted operating income declined by 2.7%, excluding currency, mainly due to the following three factors, which André outlined previously during our year-end call in February. The impact of the tax-driven cigarette industry volume decline, as well as the related down-trading and our corresponding market share decrease, in the GCC, principally Saudi Arabia; higher RRP investments, primarily in the EU Region; and our full-year 2018 contribution of $80 million to the Foundation for a Smoke-Free World, which was expensed entirely in the first quarter. Adjusted diluted EPS of $1.00 declined by 1%, excluding $0.03 of favorable currency. Our reported diluted EPS in the quarter came in $0.13 above the $0.87 forecast that we provided in February. Underpinned by our strong business performance, this better-than-anticipated result was helped by the lower effective tax rate, as well as the timing of certain RRP investments. Nevertheless, our projection of net incremental investment behind RRPs of approximately $600 million in 2018 remains unchanged. Combined cigarette and heated tobacco unit shipment volume declined by 2.3% in the first quarter, or by 1.1%, excluding estimated inventory movements, primarily in Japan and Saudi Arabia. The decline was principally due to lower cigarette industry volume, notably in Japan, Russia, and Saudi Arabia, partly offset by strong growth in heated tobacco unit volume, particularly in Japan and Korea. For the full-year, we continue to anticipate a combined shipment volume decline of around 2%, compared to an industry volume decline of 2% to 3%, on the same basis. Heated tobacco unit volume is growing rapidly across launched geographies. In Japan, we lifted the IQOS device sales restriction during the first quarter of 2018. We observed, however, that device sales were slower than our ambitious expectations. This was due to still limited awareness of IQOS' increased availability and, more importantly, to the fact that we are reaching earlier in the year than we had anticipated, the more conservative consumers, especially the age 50 plus smoker segment, which represents approximately 40% of the total adult smoker population. In general, these consumers are likely to display, at least initially, a slower pace in entering the RRP category, that is, they are less likely to be in the "Innovators" and "Early Adopters" groups shown on this chart. Instead, they are relatively overrepresented in the "Late Majority" and "Laggard" groups, which are larger in size. This is common with any new product category, and especially RRPs, and IQOS in particular, given their phenomenal speed of growth in Japan. We are therefore adjusting our commercial plans in terms of the timing, intensity and content of communication to specifically address the needs of these adult smokers. In parallel, we are strengthening our loyalty programs for existing IQOS users as competition intensifies. However, this temporary dynamic may affect our full-year total heated tobacco unit shipment volume, which we have cautiously reflected in our revised guidance. IQOS continued to record strong heated tobacco category share growth in Japan in the quarter at an estimated 80%, and it is the undisputed icon RRP brand. In fact, as the availability of competitive RRP products has increased, there has naturally been experimentation by certain IQOS users especially "Innovators" and "Early Adopters" with competitive products. This has also been due to the IQOS device sales restriction. However, only an estimated 1% of converted IQOS users fully switch to these competitive products. This is remarkable, particularly given the premium positioning of IQOS, and is a testament to its potential. Before closing on this topic, I think it is important to highlight the underlying growth in heated tobacco unit demand. Even if the aforementioned dynamic persists, we remain on track to double our worldwide in-market sales of heated tobacco units compared to 2017. Moving to our market share performance, total international share, excluding China and the U.S., increased by 0.4 points in the quarter, driven by higher share from our heated tobacco brands, which were up by one full share point to 1.5%. Over half of the 0.6 point share decline for our cigarette portfolio was due to Saudi Arabia, where the decrease in cigarette industry volume and related downtrading put pressure on the shares of both Marlboro and L&M. I will now discuss a few of our key geographies, beginning with the EU Region. Total industry volume declined by 4.1% in the first quarter, or by 3.4% excluding estimated inventory movements. The decline was due mainly to the impact of price increases, including sizable excise tax-driven price increases in France. For the year, we anticipate a total industry volume decline of approximately 2% to 3%, consistent with the structural decline rate. Our total regional market share was down by 0.2 points in the quarter, largely reflecting the impact of estimated inventory movements, partly offset by the strong growth of HEETS, which reached a regional share of 0.8%. As expected, Regional adjusted operating income, which declined by 15.8% on a currency-neutral basis, was heavily impacted by incremental RRP investments. For the year, we anticipate adjusted operating income growth in the low to mid single-digits, excluding currency. In Russia, total industry volume declined by 8.3% in the quarter, due mainly to the impact of price increases and higher illicit trade. For the full year, we expect a total industry volume decline of approximately 7%, consistent with 2017. Quarter-to-date February cigarette market share declined by 1.1 point, primarily due to our low-price brands. Despite continued down-trading in the market, as well as adult smoker out-switching to IQOS, share for premium Marlboro increased by 0.4 points, while share for above premium Parliament was down only slightly. We recorded a favorable pricing variance in the quarter, reflecting the annualization of 2017 price increases, as well as additional price increases earlier this year. While this is a welcome development, the pricing environment remains a watch-out, particularly after the scheduled excise tax increase in July. Turning to Saudi Arabia, cigarette industry volume remains under considerable pressure following the June 2017 excise tax-driven price increases. First-quarter industry volume declined by over 40% and was impacted by a further VAT-driven price increase in January. Our cigarette market share declined by 12.5 points, largely reflecting the impact of significant industry-wide down-trading following the price increases given the premium positioning of our portfolio vis-à-vis competitors. We anticipate a moderation in the cigarette industry volume decline in the second half of the year, when the June 2017 price increases have been lapped. As I mentioned earlier, the market nonetheless remains a watch-out, along with the broader GCC, due to the differing stages of tax enactment. In Indonesia, cigarette industry volume declined by 2.3% in the first quarter, largely reflecting the soft consumer spending environment coupled with above inflation excise tax-driven price increases. For the year, we continued to anticipate an industry decline of 1% to 3%. Cigarette market share increased by 0.2 points in the quarter to 33.2%, driven by the strong performance of Marlboro Filter Black, as well as Dji Sam Soe Magnum Mild, a lighter-tasting machine-made kretek line extension from the Dji Sam Soe brand family, launched in May 2017. In the Philippines, excise tax-driven price increases drove further profit growth in the quarter. We also recorded strong market share growth, led by Marlboro and Fortune. We are particularly pleased by Marlboro's performance following its price increase in December 2017. We continue to be very encouraged by the outlook for profit growth in this important market. I will now turn to the performance of IQOS, beginning in Japan. HeatSticks continued their strong sequential growth trend in the first quarter, reaching a national market share of 15.8%. This represents growth of 8.7 points and 1.9 points versus the first and fourth quarters of 2017, respectively. Looking at IQOS's performance in Sendai specifically, HeatSticks off take share growth in the first quarter continued to drive an increase in our heated tobacco category share. It is worth highlighting that the category’s share growth in the first quarter was driven primarily by IQOS. The quarterly share progression of HEETS in Korea also continues to stand out, reaching 7.3% in the first quarter. To put this performance into perspective, HEETS is now a top-5 tobacco brand in Korea less than one year after launch, with a quarterly share approaching those of our leading cigarette brands in the market, Marlboro and Parliament. Outside Japan and Korea, we continue to record strong sequential national share growth in other advanced IQOS launch markets, with first-quarter market shares ranging from 1.5% in Italy to 3.5% in Greece. This performance demonstrates that we are successfully leveraging our learnings across markets to drive improved execution, higher IQOS awareness and strong conversion. It is important to also remember that these national shares have been achieved despite not having a full national presence in these markets. We believe that the even higher quarterly off take shares in focus cities such as 3% in Rome and 5.9% in Athens augur well for IQOS in these markets going forward. As seen on this chart, we are observing similar trends with our focus area offtake shares in IQOS launch markets that remain more targeted within a limited number of key cities. This gives us further confidence that our investments behind the heated tobacco category are increasingly paying off. The growth of our RRP portfolio, coupled with the enduring strength of our combustible tobacco brands, is supporting strong anticipated cash generation in 2018. For the year, we continue to target operating cash flow of over $9 billion. We plan to use this cash primarily for capital expenditures to support the growth of our business, and for dividends, at the Board’s discretion. We anticipate capital expenditures of approximately $1.7 billion this year, with RRP-related investment expected to account for around 60% of the total. We remain committed to restoring, over time, our leverage multiples to the ranges associated with our current credit rating. Importantly, both Moody's and S&P have recently confirmed our rating, with S&P revising its outlook from "negative" to "stable." In conclusion, our first quarter results came in better than expected, with the delta compared to our February forecast driven mainly by a lower effective tax rate and the timing of certain RRP investments. Our leading combustible tobacco portfolio continues to support strong pricing, while contributing the lion's share of our earnings and cash flow. In parallel, IQOS is recording strong sequential quarterly share growth across launch markets, demonstrating our ability to effectively invest and apply learnings in a wide range of geographies. Finally, the full-year outlook for our business remains strong. Our increased 2018 earnings per share guidance reflects a growth rate of approximately 8% to 11%, excluding currency, compared to adjusted diluted earnings per share of $4.72 in 2017. Thank you. I am now happy to answer your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Judy Hong of Goldman Sachs.
Judy Hong: Thank you, hi everyone. So Martin I had a few questions just in terms of how the IQOS trends played out in the quarter. So, first just in Japan how much did device sales actually come in lower versus your expectations and is this is something that developed in the last two months because it sounded like CAGNY trends were pretty strong, I think you had January market share number for IQOS that was higher than the quarterly average. So, just curious in terms of the device sales situation and then if this is something you have observed in the last two months?
Martin King: Yes, Judy if you recall when we were talking about the end of the year call we mentioned that we were expecting to be able to meet the additional HeatStick units inventory that we had sent to Japan with additional devices from our second supplier that had ramped up production. And we did ship the additional devices and we were anticipating a substantial surge because as you know we had short in the market for quite some time. And as it turned out we were closer to having met market demand than we realized. We are anticipating that we would reach some sort of a plateau later in the year given that we knew the consumer dynamics that we hit close to saturating the early adopters and innovators. It is just coming a bit earlier in the year than what we had foreseen, and this isn’t unusual. We have looked at trends of other new products and new successful launches in other situations, and there is almost always periods where you get surging adoption and then it plateaus a bit as you enter some new consumer dynamics and categories, and then it tends to resume some growth rates. And we think we are at one of those points. Now we are obviously going to adjust our plans. We have very good initiatives in Japan that we are going to pull forward earlier in the year and we need to adjust a bit our messaging to these consumers and we don’t know how long this plateau will last it may -- we may be able to resume better growth rates fairly quickly or it may persist a bit throughout the year. So we thought it was prudent to reserve some of the benefits from the tax to account for this as well as for the Saudi and Russia pricing. And we're going to see how it goes for us here. It's still early days in the year. We've got a terrific team in Japan that is addressing these issues backed up by some folks in the region that have experience in Japan. And the group here in the headquarters that's putting together a great tool box for us to address these other consumer segments. So we're actually quite optimistic about Japan. We had tremendous growth there. I mean to reach about 16% share in such a short period of time is absolutely phenomenal. It was just an issue of whether this torrid pace of growth would continue uninterrupted or whether we would hit some points at which we need to adjust a bit and approach consumers in a little bit different manner and that's just coming a little earlier in the year than what we had hoped. And there is that -- I'm sorry go ahead.
Judy Hong: No, go ahead sorry.
Martin King: You had mentioned the shares, for the quarter we are at 15.8 versus the quarter four last year of 13.9. I think you mentioned the January share that probably you were looking at from CAGNY which was given at 16.3. We're focusing more on quarterly shares because there's always a bit of noise in those in market shares there based on exchange of data from the different companies and sometimes there are some inventory impacts as they shift to retail. If you look at December of last year the in-market shares percent was 14.1 so it was probably a little understated versus due to some inventory increases from our competitors and then 16.3 came in in January probably a little overstated because of the reversing of that effect. But if you look at say quarter end to quarter end so December was the last month for Q4 at 14.1, March of this quarter is at 15.6 so we're seeing a good trend in Japan in offtake. What we're flagging for the rest of the year isn't really you don't see it in the first quarter numbers. What we're really flagging is the growth, the speed of uptake of new consumers as measured by how quickly they buy the devices and rather than get a big surge from pent up demand that we had optimistically estimated we're seeing still good growth, still a good number of new consumers coming in the category. We just don't have that surge there of devices and therefore we can project forward and see that our HeatStick sales which come as a lagging indicator to the device sales are likely to be a little bit lower than what we had flagged at the year-end call and therefore we're being cautious in reserving some ammunition to deal with that.
Judy Hong: Okay, and then if I can just clarify the distortion though between the in-market sales number versus the shipment number because it seems like last year particularly in the fourth quarter, there was a bigger sort of over shipment of IQOS versus the in market share number. So as you think about the kind of a little bit slower adoption of the more conservative consumers and then you also have this big inventory that's probably still in transit or somewhere in the channel. How do you think about accounting for that as you think about shipment volume in 2018?
Martin King: Okay, so let me go back a little bit to what we said previously and remind a little bit of what the setup was. So we started the year last year with almost no inventory because we were behind on HeatSticks and only later in the year were we able to start catching up a bit and we called out in Q3 and also in Q4 that we were actually building what we thought -- what we think still is an appropriate inventory for Japan. If you recall we said that for the full year we've built inventory as a company of 8.5 billion net of conventional cigarettes. So in Japan obviously we were providing for an appropriate inventory of heated tobacco units while at the same time reducing our conventional cigarette inventory. So we had called out the 5 billion that was in the fourth quarter and a total of 8.5 throughout the year. And of course we were at the same time we were shifting from air shipments to sea shipments. We were still relying and still are relying primarily on one factory. So we needed to have some safety stock to deal with any potential disruptions and so forth and we were also anticipating HeatSticks to meet the new device volume which had become the bottleneck by the second half of the year. So I think we were pretty clear to say that within our numbers for last year was a build-up of the inventory for heated tobacco units in Japan. Now for this year we've got that inventory, we don't expect it to reverse from the point of view that we have excess inventory. We have an inventory that's appropriate for a rapidly growing product category and appropriate for the long supply chain and we've gone to see shipments and appropriate to guard against any possible disruptions from a supply chain that's still relatively young and relatively focused on a single factory. But for 2018 you will see pretty stable HeatSticks inventory in Japan. You'll see comparisons year-over-year which is a variance on variance where we'll call out that the difference in inventory build in 2018 will be obviously lower than the inventory build was in 2017. So I think you also have to keep in mind that we're back to shipping by sea from Japan so you have product on the water that ships and is recorded as revenue when it ships out of Europe primarily and it takes six to eight weeks to get to Japan. And I think maybe there's been a bit of confusion also with some people reading to Japanese government import data within the quarter and mistaking it as having been the IMS sales in the quarter when in fact it was shipments in the fourth quarter of last year that arrived on the water only in January-February of this year. So that perhaps is another source of confusion on reading the difference between our in-market sales and our shipments.
Judy Hong: Got it, okay. Thank you.
Martin King: Okay, thanks Judy.
Operator: Our next question comes from the line of Michael Lavery of Piper Jaffray.
Michael Lavery: Good morning. Can you just talk a little bit about what changed in Russia and Saudi Arabia. Those aren't new issues but it seems as though they must have gotten worse, it's now -- that's part of what you would point to as your updated -- for your updated revenue outlook?
Martin King: Okay, sure. So for Russia it's more a situation that we still have a lot of the year left to go with the pricing situation and we still have the tax increase which comes only in July this year which is a pass on of five Roubles per pack. So it's lower than it was last year but it's coming six months later. So the whole pricing situation in Russia is still unfolding. The first quarter actually came in pretty good. We're on track, there is no big new news there. But we have a situation in Russia where the timing between when the price is announced and when it actually reaches retail is quite long in Russia because of the way the pricing happens, it has to be declared at production and then there's inventory that works its way through the market. So the time between now and the end of the year with the tax still to come and the pricing having such a long time to retail, we just called it out as a caution and something that we are still watching and concerned about. But there is really not a big new development. You always have the usual skirmishes or lagging from competition and certain SKUs perhaps not coming up in price quite in the way that others are. That's normal so it's not really new news. On Saudi I think it's a story where we're just now seeing the full impacts of the volume effect of these huge price increases. We had another price increase in January driven by the VAT. Our market share in Saudi is actually sequentially starting to recover a bit. In Q3, Q4 we were in the 35% more or less market share range. So while Q1 is way down versus last year sequentially it's actually starting to recover. The watch out is more on the market volume which is still not in recovery mode which is still lower in Q1 than it was in Q4 and Q3. So again it's a situation where it's very hard to predict the rate of recovery of the total market volume and our share and it's still early in the year so we're calling it out as a caution. Again we're not seeing numbers that are dramatically different from what we had expected but it's still very early days and we want to make sure we have that accounted for rather than just roll it on through to the guidance and then have some news later.
Michael Lavery: So just help me understand this, I guess when you reported your fourth quarter and gave initial guidance it would have been earlier still in the year and you're -- I'm hearing you right nothing's changed so is really the updated revenue outlook all driven by IQOS in Japan?
Martin King: What, I mean certainly IQOS in Japan is probably the piece that's more newer information coming from the way that the device offtake is occurring. But we're still anticipating a very successful year in Japan and we're still anticipating double the volume of heated tobacco unit sales worldwide. I mean but clearly if this situation in Japan persists then our volume estimates for heated tobacco units will be more in the range of 55 to 60 versus the over 60 that we had called out before. It's hard to say exactly at this point, we don't know how this trend or the dynamic is going to develop. But we are just calling out kind of a more cautious situation to give us the time and the resources to tackle these different consumer segments in the right way.
Michael Lavery: So, help me understand the IQOS number then 55 to 60 is quite different than twice last year's number which would be more like 70. I thought you were just saying today that something in the 2X last year was where you thought it might be?
Martin King: We are having a bad connection, I really couldn't get that. Could you repeat that again Michael.
Michael Lavery: Yes, sorry. So if I understood it right I thought you've just been saying that now you still think you could hit a something like a 2X last year's number that would be about a 70 billion sticks, is it more like 55 to 60 though?
Martin King: No, what I am calling out is we expect to be more than double our in-market sales. So I'm accounting for this inventory build last year and just -- and comparing our in-market sales last year to what we expect for this year which would be well over doubling. And giving a more or less cautious range to say 55 to 60 would probably be a better estimate if this situation persists in Japan. But overall we're seeing tremendous growth not only in Japan by the way but if you saw the situation in the other markets we have a very nice stepped up share growth and volume coming from a wide range of markets across the EU and Russia is doing better and we're seeing some very good developments and very good news across the world for IQOS and our heated tobacco units. But obviously Japan is a big chunk of the volume and so when we are revising the numbers we felt it was best to give a little bit more cautious range.
Michael Lavery: So can you just help us understand, I know you're learning as you go and this is an evolution in your business that's quite new but where do you see this going and how do you model next year or two, three, four, five years out. You must have some amount of planning around that, what could an investor expect for what this all gets us and where we're heading?
Martin King: I'm sorry Michael, it's very hard to understand you. I don't know that you have a very good connection or something. I took away you are asking about how do we model our for the years, is that…
Michael Lavery: Yes, so if there's some inherent uncertainty around how your business is evolving because this is a new platform and reduced risk products are different…
Martin King: I'm sorry I can't hear the question at all. So I don't know Michael you just have a bad connection maybe you can call in again. We can go to another and come back. I can't get the question.
Michael Lavery: Yeah I can try that and maybe if you can hear me now just one more time to what's the outlook like two, three, four years out, how do you see your business evolving. Obviously there's still some learning you're doing but what is the end game for where we're heading?
Martin King: Well, I mean we're building a whole new category not only for IQOS but we will be doing the same thing across our entire RRP portfolio. You have heard our commitment as a company to move as quickly as we can our entire combustible business to reduce risk products. We're investing substantially in building the infrastructure not just centrally but in the markets to make this happen. So we are very committed to this. We have a strong portfolio of products not just with IQOS but with other platforms as well. And as IQOS continues to do well in these other markets we expect the volume to keep growing extremely quickly as we make this happen. At the same time we're not abandoning our conventional product focus. You see we're getting very good results from our portfolio, our pricing in the first quarter is bang on. We said that for the full year on the conventional side we would achieve 7% pricing variance as a percent of the combustible prior year net revenues and in the first quarter we're right on track for that doing extremely well. The volume is okay. We're getting some volume back in some markets where we had lost it in Asia and overall we're using the combustible side to fund this transformation to reduce risk products and as far as modeling how fast that will go it's difficult. We've said there is uncertainty in this, we're going to move it as fast as we can but we're also prudent at the speed at which we invest to make sure we're getting good return for the investments and so forth. So as far as modeling it out several years, if you figured it out, have a good model we'd like to look at it too.
Michael Lavery: So as far as the margin outlook it's hard for you to indicate that right now?
Martin King: As far as the margin outlook, well okay look at the situation right now in the first quarter, we saw a pretty big drop in our margins. We were down about four percentage points. So let's strip that out a little bit. About half of that, about 2% of that is coming from the device impact and one of the things you're seeing in the first quarter is that our device sales as a percentage of RRP net revenues was a bit higher than usual. We had said that we expect around 25% to 30% of the net revenues for RRPs would be coming from devices and in fact in the first quarter it was about 5 percentage points above that range, around 35%. And this is partly the impact of what I described before that we had the devices coming from our new supplier that we shipped into Japan which we record the revenue as we ship it and they didn't sell out quite as quickly as we anticipated. Still we had very good results by the way. It's just not the surge that we anticipated so you see a bit of a disproportionate share of the devices in the first quarter versus some of the other quarters. So that's about two percentage points of the 4% volume, I mean, the margin impact. You have got Saudi in there which is a huge drag, Saudi is very high margin area and you're seeing a big drag coming from that. So that's a big chunk and then you have the $80 million annual foundation which hit in the first quarter only. So that's -- those pieces together account for this four percentage point. If you look at some of the regions that aren't impacted by those other pieces we had very good margin expansion in South and Southeast Asia and Latin America and Canada and then of course on top of that you have the big RRP investments that we put in and a lot of it's going into EU but it's really going really across the world. There are a lot other markets as well. So when you put all these margin pieces together you see a pretty big impact but going forward we should not see some of these as big a drag as we have seen in the first quarter. Obviously on the investments we will continue to invest and part of that is new consumer acquisition and making the transition, but there's a certain portion of this step up in spending which should not just scale the volume. A lot of it is infrastructure spending in the -- digital approach which you do it and you build it and it's there and then it can support a large scale of volume. It doesn't have to grow with the volume and the transformation. So going forward while we'll have more investments, the ratio of the investments to the new consumer should become more manageable. The other piece is you've got a lag. You put in your big investments for example into EU behind gaining consumers. This is something that we need to do to convert consumers, we need coaches, we need a digital approach, we need a number of investments to make it happen. And the payback comes fairly quickly but also not exactly in the year where you made the investments. So there's a bit of a lag. So the step up that we're seeing this year we'll see some payback of course this year and in the second half of this year but most of it will come next year. You won't have -- the foundation will be in the base next year, the devices will be there but we're also working on having the devices be a bit less of a drag. The cost of them is coming down, the pricing is a bit better and then next year we shouldn't have Saudi because we would have lapped those results and in fact we have some hope for the market to recover a bit and get our share back and get some of the volume back as that market normalizes. So if you put all those things together logic would tell you that 2019 should be a bit better certainly on a margin perspective but also overall business.
Michael Lavery: Okay, thanks for your time.
Operator: Our next question comes from the line of Adam Spielman of Citi.
Adam Spielman: Alright, thank you very much. I have a really quick question on Japan but my main focus is the E.U. But to get rid of the Japan one first, you used in answer to Judy you used the phrase [indiscernible] and you also if you look at the sequential market share month by month it appears to be falling the course.
Nicholas Rolli: Adam, this is Nick. We have a very bad connection, we're going to just switch to a different phone so if you can just hold on one second we will just make the switch. Gloria can you switch us, the operator can you switch us to the backup line please.
Operator: Certainly.
Adam Spielman: Or I could email you the question.
Martin King: We want to hear it from you.
Adam Spielman: Can you can you hear me?
Nicholas Rolli: Go ahead Adam, thank you.
Adam Spielman: On Japan quickly, I think just to be clear I think you'll say you still expect growth over the courses in terms of market share even though you use [indiscernible] which sounds as if it's flats and sequentially the monthly market share within Q1 got worse over those three quarters. But I think what -- am I right to think that you still expect growth in market share over the course of 2018 quarter-by-quarter?
Martin King: Yes, we do. We continue to grow in Japan, we continue to gain new consumers and we anticipate that share in Japan will continue to increase. It's just an issue of the speed of growth and the surge that we were expecting from the finally lifting the cap and having the supply of devices to meet the HeatSticks that were already there. Didn't materialize as much as we expected but we continued to grow in Japan, we have a very successful product there, conversion rates remain intact, and we also are doing very well versus the competition in the heat not burn category. We are growing our segment share so it's not an issue of not growing, it's more of an issue of the speed and the moment at which during the year we knew we would hit a bit of more difficult to convince consumer groups if you will. I mean especially in Japan you've got 50 plus age segment, there is 40% or more of the total adult smokers. And IQOS we are under indexing that group and that group is over indexed in more the late adopters and laggards parts of the consumer groups. And so it takes them a little bit longer to understand and be convinced to try IQOS and to move into the segment. We are convinced they will, in fact many have because there are -- but if you and I are using our product now, it's just a matter of timing.
Adam Spielman: Okay, can I turn to -- thank you very much, can I turn to the E.U. two related questions. Firstly, it sounds like you planned to make some investments in Q1 but you decided not to and I would be very interested to hear about what you didn't do? And secondly, obviously market shares are progressing. I think it was 0.6 market share in 4Q, 0.8 in 1Q. And how do you expect that dynamic to continue, due you expect it to accelerate during the course of the year or do you think that run rate will continue each quarter? Thank you.
Martin King: I mean when it comes to investments I mean whenever you put plans together to have a big step up in investment it's always built on project timelines and when you can execute things and so forth. It's not so much the case of deciding not to move forward, it is more the case of our ability to pull off this big surge in investments and to get the resources lined up and get it executed. I mean obviously we're making choices on putting more money or less money into individual markets depending on how the return on investments is coming and obviously there are times when we try something it doesn't work and we shift the resources over to another project that is working. But I'm not going to get into specifically calling out which things are working and which ones aren't working because I certainly don't want the competition to gain that information. As far as the speed of growth in E.U. I mean it's hard to predict, we're seeing better results. We are very pleased with the way things are moving and the increased rate of growth. I mean in Italy where we've been for quite a while it was moving along at 0.1 at best month to month, quarter to quarter and now we're accelerating a bit. There are a number of other markets where the results are pretty fantastic. Greece is another so it's very difficult though to sit here and give you a rate of progression across the E.U. I mean we're going to continue to invest. Overall this year we're still on track to achieve our $600 million step up which is net of conventional product allocation. So it's a considerable sum. We're trying very hard to spend it wisely, we put in place controls and tracking to make sure that that the money is getting results before we release more of it and that we reduce programs that aren't working. And the money and the investments not only in EU but in other places as well, Russia is a fantastic example, it's really starting to pay off. And the learnings are coming and we are getting better at executing, the quality of the coaches that we've put in place in a number of markets is much better, the messages are being fine tuned by market to fit the differences of consumers. So we're really pleased with what is going, we're very optimistic about IQOS growth across the world by the way not just EU but it's in many other places as well. We're seeing terrific results in quite a few markets. So the plan is working and the move towards a reduced risk product is working. We're very mindful though of keeping an eye also on the conventional pieces and not abandoning that part of the business because it has to be the engine to provide the resources for the gains that we're going to get on RRP. But you see it worldwide. Our share in RRP was up one full share point year-over-year. I mean if you looked at that and said this was like a new brand rolling out across the world everybody would be jumping up and down with tremendous joy and it is. It's pretty fantastic and so we're very optimistic about it.
Adam Spielman: Thank you.
Operator: Our next question comes from line of Bonnie Herzog of Wells Fargo.
Bonnie Herzog: Hi. Hi guys, I missed a little bit of the call but I did want to talk to you about your HeatStick sales outside of Japan which did increase sequentially but maybe not as much as I would have expected. So I want to hear from you guys if that has met your expectations and how you expect that to ramp as the year progresses especially with what you just discussed in terms of the stepped up spending, conversations you're having with consumers, refining your approach, are you more optimistic that that could accelerate further as the year progresses?
Martin King: Well Bonnie I'm very glad you have very high expectations and the reality is we do to. And did the first quarter HeatStick sales outside of Japan meet our expectations, yes, they did. We're on track. We do hope to continue to accelerate the growth and that's what the investment is for. Obviously we've got a fair amount more to spend and more to put behind the growth rate and we're getting better at it, we're getting more tuned into what works. We're sharing very good learnings across markets. The new operating structure with the COO, Jacek focused on execution while the development side works more in the future in the tool boxes and so forth is working very well. We're still getting this in place. But we're already seeing some benefits from that and improved execution as well as improved speed at which we're developing the pipeline of new tools and new products to come. We have a terrific plan for the rest of this year and into next year for new products, new initiatives which I can't go into great detail on as you can imagine but yes, I think we're pleased with the results so far and we're very optimistic that we can accelerate the results going forward.
Bonnie Herzog: Okay, and then just another question on your top line guidance which changed a little bit as you guys discussed and a few questions, so I wanted to make sure I understand the pricing on HeatSticks, is that something you guys are adjusting downward for instance in any markets as you try to push for the conversion, just kind of wanted to better understand how you're going to continue to position HeatSticks relative to combustible sticks in many of these markets?
Martin King: Yeah, we haven't changed our plans on pricing for HeatSticks at all. Our main focus of course with IQOS and HeatSticks is consumer acquisition. So at this point we're not pushing to try to get a lot of pricing out of HeatSticks. Obviously we want to maintain its premium positioning so it doesn't mean we won't ever change prices anywhere but pricing isn't really the name of the game at this point with IQOS or with HeatSticks. We've got obviously increased competition in a number of markets so the pricing of the devices and the consumables we have to keep an eye on competition. We are priced well above the competition virtually everywhere which is fine by the way because we have a better product and consumers see it that way. On the other hand we have to be careful that we don't get undercut too much. So we have not changed the pricing on HeatSticks at all. The slight change in the language on revenue growth first of all, I mean we are still seeing about 8% which is pretty fantastic for any company but especially for a consumer products company. So I think this is a pretty terrific number to have out there. We changed it a little bit based on what I already said which is the potential if it persists from Japan for the HeatStick or heated tobacco unit volume to be a little lower than what we had flagged in the previous year. And so we're giving ourselves a little bit of room and range around the 8% and trying to be as forthcoming with everybody as possible so that we don't disappoint on that number. But it's very, very solid number. 8% is nothing I think to be ashamed of.
Bonnie Herzog: No, not at all and then just maybe a quick final question for me, I want to circle back to something you just mentioned about new innovation that you expect to be in the market this year which you can't talk about but I wanted to then clarify is that baked into your guidance for the HeatSticks volume as well as are you also considering any volume you might be selling in the U.S. market, is that factored into your guidance?
Martin King: Well, look I hesitate to go line by line and say what's in guidance and not in guidance because you know as you well know a guidance is a kind of an all in number with a lot of puts and takes. I will say that the U.S. volume is really immaterial for this year. First of all we don't know exactly when it would ship and we don't have any volume in there for U.S. However, when it comes to other programs or other initiatives I mean obviously we have a plan and we know what's going to happen. It's part of our overall assessment of what the business can provide for the year. So for new initiatives and new type activities of any type we obviously consider them when we're putting together estimates.
Bonnie Herzog: Alright, thank you.
Operator: Our next question comes from the line of Vivien Azer of Cowen.
Martin King: Hi Vivien.
Vivien Azer: Hi, good morning. So, on the top line again, sorry to belabor the issue but that's clearly the concern today. When we think about your full year outlook for 8% and I look at the cadence of revenue growth in 2017 it is hard to imagine if you only did an 8.3 in the first quarter and your comps get considerably harder like what is going to change over the course of the year and allow you to kind of maintain that level of growth when your comps get significantly harder. So help us understand kind of the cadence of revenue growth please over the course of the rest of 2018? Thanks.
Martin King: Well, I think Q2 and Q3 we are expecting some pretty strong revenue growth above 8%. As you pointed out the real comp hurdle comes with the fourth quarter where we had a fantastic revenue growth last year in the fourth quarter, it was 18.8% I believe if I recall. So that comparison does make it more difficult and that with that in mind that's partly why we're putting out there more around 8% versus saying the over 8% before. But we expect very solid, very strong revenue growth in Q2 and Q3 and continued growth sequentially for Q4 but just the year-over-year comparison becomes quite challenging. I think that's about as much color as I can give you on that one.
Vivien Azer: Geographically can you call anything out like that supports that level of confidence around much more robust growth in the next two quarters?
Martin King: Well I mean I mentioned that in the first quarter we had good pricing and that we are on our plan for pricing. And in fact slightly ahead. So that's part of it, as the pricing gets rolled in, in the first quarter it is really not fully impacted because we announced pricing across a number of geographies. I mean in the E.U. alone we're implementing pricing in Germany, Poland, Italy, France. I mean and yet we have mentioned the pricing in Russia. As you know Indonesia developed throughout the year, we had pricing in the beginning the year for Mexico, Canada, Argentina, Philippines, a big piece that's going to be now reflected throughout the rest of the year. So that's part of it. The volumes in the first quarter came in what we expected maybe a little bit better. The CC, the conventional cigarette volume is actually holding up very nicely and we're seeing some good developments in a number of markets despite some of the pricing related volume impacts that we're having in Russia, in France and in a couple other markets. But overall we're doing pretty well on conventional cigarette volume and our outlook for that as well.
Vivien Azer: Okay, thanks. On your outlook for incremental spend on IQOS relative to I believe it was the 600 million in incremental spend, you had originally guided for. How should we think about you guys kind of tweaking that plan, like what would drive adjustments there given in particular the first quarter trends in Japan, thanks?
Martin King: Yeah, I mean look we're going to spend what we need to spend particularly in Japan. We have a rocket ship there that is absolutely taking off and very, very successful. And we will put the resources into it that we need to and which we think is appropriate. There are various ways to do that right, you can reallocate from the spending you have in other areas around conventional and other programs. You can reallocate some geographically or if necessary we can also spend above that 600 million that we mentioned. And this is part of the reason we are holding back a bit of the tax benefits that we called out as far as our guidance increases. So that we have the flexibility and the ability to put the resources behind a very successful product that we have not only in Japan but elsewhere. So yes, right now we don't call out an increase in spending from the 600 because first we want to look at our reallocations and putting our heads together to put more resources where we need it without increasing the total net increase. But in the end of the day if we need to we will spend what is necessary for these new initiatives in Japan. And we'll find a way to deal with that within the guidelines that we've given you on the guidance.
Vivien Azer: Okay, thanks. Last one for me please. As we think about that Roger's innovation adoption curve that you showed for Japanese consumers like where do you think it kind of breaks and you say, okay, you know what like we're probably at saturation on IQOS and these older cohorts maybe are more appropriate for like a platform too, how are you guys thinking about that balance?
Martin King: Well, I don't buy the idea that the late adopters or the even the laggards won't move to heat not burn. We see actually that individuals in those groups have very high conversion rates. It just takes a bit harder, bit more time to explain to them how it works, how to use it, what the benefits are and so forth. I mean we're reaching, we are ever more mainstream with IQOS in Japan. When you had 16% market share it's everywhere. You see every people using it, it becomes much more a product that can be considered by anybody. It's just that it takes them maybe a bit more explaining, a little more training on how to use it, a little different message on what are the benefits. So we're not at all saying that IQOS won't be successful among the 50 plus or among those different groups that we flagged on the chart. It's more a matter of how you approach them, what are the programs, what are the messages, which way can you communicate with them better, what are the products you put in front of them. So we think that they are very -- still good potential consumers for IQOS. Now could a platform too over time also play a role in some of these markets, absolutely and we will over time as we get to that point use the entire product portfolio to address both different consumer groups but also even individual consumers during different times of the day or different points where they might enjoy one product versus another. We see our entire portfolio as something that can be used not only to approach different groups but also within individuals where they might see some of these products as more relevant during certain times of the day or during parts of their week. So any way we think we will continue to grow in Japan. It's getting more mainstream so it becomes a different approach. You don't have the very fast word of mouth coming quite as fast from some of the early adopters and innovators because almost all of them have already either moved to the category, tried the category were reaching close to saturation in those groups which is great news. But we will tackle these other groups and we will be successful with it, we're quite convinced of that, it is just how fast it goes.
Vivien Azer: Okay, thank you.
Operator: Alright. Our next question comes from the line of Jon Leinster of Berenberg.
Jonathan Leinster: Hi, good morning or good afternoon. Just a couple of quick questions, one quite specific one in Japan just out of interest how many of the devices are now sold at full price and how many are still being sold on discount when it comes to IQOS?
Martin King: An increasing percentage is sold at full price because the original design was that the discount was more for encouraging people to register a new user. So you see consumers buying a second device which is positive from the point of view that they are more attached to the category and they see a need for additional devices and you also see some replacements because remember we've been in Japan now for over two and a half years. So you have devices that reached the end of their number of cycles that need to be replaced. Right now in Japan it's actually more than 50% is sold without the discount. So it's moving slowly in that direction. At the same time we have to realize that to attract new consumers especially getting back to the 50 plus age group there's a little more price sensitivity in that group as well. This group tends to buy brands which are a little bit lower price and so they are more sensitive both on devices and on the heat sticks. So having a good offer for them and a good opportunity for them to try specially for their initial devices is important to cracking that group. So we will be judicious how we use discounts but I think we have to be realistic that we have competitors out there offering their HEET number and usually at 30% or 40% below the lowest prices we're offering for our. So we have to find ways to also put our products in front of people that are little more price sensitive as we go forward.
Jonathan Leinster: Just to take that a bit further I mean, in the past you've talked about potentially producing lower priced brands, HEET is sort of premium brand and maybe producing sort of more comparable and in pricing terms with some of the competition, is that what you're referring to here potentially a whole new brand or you are referring to sort of just a more heavy discount on the existing brand?
Martin King: Well I think as you can understand I'm not going to go into details for competitive reasons on our plans. But in the long run, over the long haul you're going to have to find ways to approach different consumer groups and you can do that in many different ways. You can do it with different products, you can do it with different offers, you can do it with special offers, etc. So I'm not going to go through the exact plan but that obviously we're thinking about ways to crack different consumer groups many of which are going to be increasingly price sensitive.
Jonathan Leinster: Another quick question on IQOS, clearly the experience in Japan has been that the flavors of the menthol and so on where they are sort of most popular, are you finding a very similar experience outside of Japan or was the consumer reaction to IQOS perhaps to use the more non-mentholated or non-flavored versions, is that a traditional taste?
Martin King: Yeah, I mean I think it depends on the market and markets that have a menthol category. The menthol version is usually preferred by menthol smokers quite obviously. Often though we do see the menthol over index is a bit simply because it's a bit easier taste to bridge to from conventional to go to IQOS because IQOS is a much lighter taste and it's a flavor that people have chosen in a bit higher percentage than usually the menthol in the market. But it depends greatly on the different market and the different situations.
Jonathan Leinster: Right, because it does vary, the experience does vary by market quite considerably then?
Martin King: Yes, it does.
Jonathan Leinster: Yeah, and a quick one on the FMC side, am I reading this right, the volumes in Pakistan sort of doubled and that added 8.4 billion units, is that correct. Yeah, there's couple of things going on in Pakistan. First of all if you recall in May of last year we were successful in working with the government to establish a new tier, a lower tax tier in order to pull back the volume that had been lost to illicit trade. Because they had raised taxes so much and prices so much and the illicit trade being actually local producers that weren't paying taxes had grown tremendously. So in May of last year this new lower tax tier was implemented and we were able to put products there at a price that could pull volume back from illicit trade together with the competition. The second piece is in 2016 there was a big inventory load in the market associated with a big price in tax anticipated. So in 2017 first quarter there was very little volume sold or relatively low volume sold in the market. So you're looking at two aspects; one is volume coming back from illicit trade which is roughly half of that 8 billion number you're mentioning and then the other half of it is the comparison year-over-year which is an inventory effect from the very high volume sold in fourth quarter 2016 with a very low volume in first quarter 2017 to more normalcy in the first quarter of 2018. So the market was quite distorted by both of those two events. The good news in Pakistan is we do have the legal volume recovering substantially from what was a pretty dire situation with the illicit trade taking a lot of that volume out. So that's a very positive development and our market share by the way in Pakistan has improved as well from this whole situation.
Jonathan Leinster: Okay, and very quickly last one, just wondering are there any sort of hated lawsuits pending regarding any other competitors related to IQOS in terms of the design of the product, is there any legal procedures outstanding against anybody in terms of sort of copyright?
Martin King: Look we worked very hard to defend our intellectual property. We constantly are looking at what competition is doing and looking at potential legal remedies in cases where we think they are misusing our IP but I'm not going to comment on individual cases or individual actions that we have either pending or out there at this time.
Jonathan Leinster: Okay, thanks very much.
Operator: Our next question comes from the line of Chris Growe of Stifel.
Martin King: Hi Chris.
Chris Growe: Hi, good afternoon. I know we're nearing end of the call here, I will just be quick here with two questions. The first is can you say how much of the spending you planned for the first quarter is in the future quarters, is it a symbol of the EPS beep that occurred in the quarter that could push into Q2 or spread across the next three quarters?
Martin King: Yeah, I mean we flagged the difference between the $0.87 that we had forecast and the dollar it's about $0.03 coming from the difference in the tax rate and the rest is overall spending type stuff. I mean the business by the way was very good in the first quarter. Our revenues came in well, pricing is doing great. So we had a good robust quarter but most of the difference is the tax and it's actually the spending than the tax. We still think the spending will be the same more or less is what we said before. So obviously what we didn't spend in the first quarter we still plan to spend in subsequent quarters. I'm not going to give you the exact amount or the exact timing of it partly because these plans are still unfolding and we're still allocating the resources and deciding which projects are most successful and deserve more funding and so forth.
Chris Growe: Okay, and then just to understand the construct of that spending, you talked about spending more behind existing IQOS users in Japan for example so is that taking away -- are you spending more say in Japan to retain customers and taking away from maybe new developments in other markets around the world as we think about the total $600 million of spending?
Martin King: I'm not going to go through the exact regional split or country split. All I'm trying to flag is that we will do what we need to do in Japan. In other words we're pulling forward some of our plans so in some cases just timing of what we're planning to spend anyway. In other cases we may need to put some additional resources in there which we can fund in a number of different ways including taking it from the conventional business. It's a big company. We have adequate resources to redeploy some to trouble spots or to get opportunities going which has been more as an opportunity. But does that mean we're going to for instance cut spending in EU behind IQOS in order to do that, I don't think so. I think it's more an issue of figuring out what programs work and where to spend it and so forth. So I'm not going to give you the exact split by the market and by the region but we will do what we need to do to get IQOS fully successful which it is doing already and we need to continue.
Nicholas Rolli: Operator do we have any questions left.
Operator: Our final question comes from the line of Judy Hong of Goldman Sachs.
Judy Hong: Alright, thanks for taking a follow up. I just had two quick questions. One, I mean obviously your stocks down pretty meaningfully today, your ratings have gotten better, you've got some cash overseas, so I'm just wondering if you can revisit the share buyback earlier than perhaps you had envisioned? And then secondly just on Japan, I guess the bigger question to me is whether you've just overestimated how big the market can get ultimately and basically we're already seeing market share kind of plateau and it's not necessarily an early adoption issue but that's basically how big the market can get. So how do you get comfort around that there was actually a bigger demand out there?
Martin King: Okay, I mean first of all on the share we've said we won't have a share buyback in 2018. We're working to improve our leverage and make sure we have the flexibility also within our balance sheet to be able to make for example acquisitions of new technology and in the reduced risk area if necessary. If currency continues favorable or gets more favorable and stays that way and we continue to see the success in the business that we're having at some point we're going to have to sit down with the board and decide what's the best way to reward shareholders whether that be dividend increases or whether it be stock buybacks. It's really a Board decision and we haven't got to that point yet. But at some point in the future that will come. As far as Japan you know look, what we're seeing is that the conversion rates for example continue to be very strong. We think that as we approach consumers and have the ability to talk to them and convince them of the product that we can still continue to grow this category. We don't think there's some artificial plateau that is sealing and we won't be able to grow beyond that. We think it's more a matter of the speed at which you can move, the resources it'll take to do it, and the messages, tools, approaches, products that are customized to each of the different consumer groups to keep growing. We don't buy the idea that somehow there's a big chunk of consumers that want to continue using combustible cigarettes when offered extremely high quality satisfying reduced risk products. It just doesn't make sense. Every single adult smoker that has the right product to shift to has a cleaner way to use nicotine we think can eventually make that shift. And we've seen it among our own employees, we've seen him on every market where we go and work on it, we are seeing among our friends where we go and you approach them by and convince them that this is a better way for them to use nicotine and get them to commit to using it for a certain period of time. The conversion rates are fantastic so we don't buy the idea that there's some sort of a limit. Now it may take longer, it may take more resources, it may take more customized approach but this is an unforeseen. We knew that we were going to have to adjust as we hit different consumer demographics and consumer groups and that's kind of where we are. This isn't surprising, okay it came a little bit earlier in the year than what we had hoped. That's just how it is but that's okay. We've got the right team and the right products and the right approach and we're going to keep growing in Japan.
Judy Hong: Okay, thanks.
Operator: Thank you that was our final question. I will now turn the floor back over to management for any additional or closing remarks.
Martin King: Well thank you very much for joining us. This concludes our call for today. And if you have any follow-up questions please contact the IR team. Have a great day. Thank you.
Operator: Thank you ladies and gentlemen, this does conclude today's conference call, you may now disconnect and have a wonderful day.